Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Barrick Gold Q2 Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. As a reminder, this conference is being recorded on August 6, 2015. I'll now turn the conference over to Ms. Susan Muir, Senior Director Investor Relations. Please go ahead.
Susan Muir - Senior Director Investor Relations: Thank you, operator, and good morning everyone. Before we begin, I would like to point out we will be making forward-looking statements during the course of this presentation. For a complete discussion of the risks, uncertainties and factors which may lead to our actual results and performance being different from the estimates contained in our forward-looking statements, please refer to our latest year-end report or most recent AIF filing. With that, I would like to turn the call over our Co-President, Kelvin Dushnisky.
Kelvin Paul Michael Dushnisky - Co-President: Thank you, Susan, and good morning to everyone on the call. Thank you for joining us. I'm here today with our Co-President, Jim Gowans and our Senior Executive Vice President and CFO, Shaun Usmar, as well as other members of the management team who will be available to answer your questions at the end of the call. Before we turn to our second quarter results, I'd like to highlight the steps we have taken to ensure that our business remains resilient in this volatile gold market. Long before the recent fall in gold prices, we completed detailed scenario planning to stress test our business at gold prices down to $900 per ounce. This identified a series of actions we can take if prices decline from current levels. The new capital allocation framework we put in place in early 2015 has led to lower capital costs as we cut or defer spending that does not meet our 15% hurdle rate. We are focused on strengthening our mine plants, reducing spending and improving productivity to maximize free cash flow from our operation. And we are also making cost reductions in other areas of the business, with deeper G&A savings expected this year and next. As a result of these actions, we generated positive free cash flow in the second quarter. Strengthening our balance sheet is a top priority, and we have made excellent progress on our debt reduction target. While these steps are generating positive results, we know there is more that we can do to ensure we continue to deliver free cash flow in a lower gold price environment. With that in mind, we are targeting $2 billion in reduced spending across the company by the end of 2016 to boost cash flow, with a hard focus on our operating costs. And as you will have seen, in light of weaker metal prices, the board has decided to reduce the dividend by 60% to $0.02 per share to conserve cash and to increase our financial flexibility. We're starting to see momentum building behind the strategy we outlined earlier this year. Underpinning our operating and financial performance has been a cultural shift to reclaim the best of Barrick's original qualities: agility, efficiency, determination and accountability. When you combine this with some of the best, lowest-cost gold assets in the world, we have a solid platform from which to generate free cash flow even in this lower gold price environment. We're optimistic about how the company is performing and the results we're seeing and there's more to come. Turning to the numbers for the second quarter, we produced 1.45 million ounces of gold at all-in sustaining costs of $895 per ounce, in line with our expectation that Q2 would be our highest cost quarter of the year as we previously indicated. Adjusted net earnings were $60 million, or $0.05 per share. On a GAAP basis we recorded a net loss of $9 million, or $0.01 per share. EBITDA was $690 million compared to $478 million a year ago, and adjusted EBITDA was $725 million versus $990 million in the prior-year period. We also generated $26 million in free cash flow in the second quarter. That compares to negative free cash flow of $128 million in Q2 of 2014. I'd now like to review some additional highlights from the quarter. As you know, we set a debt reduction target of $3 billion at the beginning of the year and we made great progress on this front. Not only have we almost reached the $3 billion mark, but we are very pleased with the valuations we have realized for the transactions and with the partnerships they have produced. We have adjusted our production guidance to reflect the asset sales and now expect to produce 6.1 million ounces to 6.4 million ounces this year. Importantly, reflecting the focus on capital and cost efficiency that I spoke about a moment ago, we've reduced our all-in sustaining cost guidance for the year to $840 to $880 per ounce. We've also completed preliminary economic assessments of opportunities to significantly extend the mine lives at Pueblo Viejo and Lagunas Norte, two of our five core mines. Jim will expand on this a little later in the presentation. Now let me take you a moment to provide you with a more fulsome update on our debt reduction efforts. As indicated in our release, we've repaid $250 million of debt so far this year from our cash balance. Together with the $2.54 billion of sales agreements we've announced to date, this represents 90% of our debt reduction target. These transactions will not only strengthen our balance sheet, they're also in keeping with our strategy to focus on core assets in core regions and they have led to the formation of two important partnerships with the potential to drive additional value in the future. I'll speak to those more in a minute. We recently closed the sale of Cowal for $550 million in cash. We have also announced the sale of a 50% interest in the joint venture that operates the Porgera mine to Zijin Mining for $298 million in cash. Last week, we announced an agreement to sell 50% of our Zaldivar copper mine in Chili to Antofagasta Minerals for total consideration of $1 billion in cash. And we have just concluded an innovative agreement to sell a gold and silver stream at Pueblo Viejo to Royal Gold for an upfront cash payment of $610 million and ongoing cash payments. In addition to these completed transactions, you have seen in the release that we are also advancing the sale of a number of other non-core assets in Nevada and Montana. As always, we will continue to pursue our debt reduction target in a disciplined manner and will take only those actions that make sense for the business on terms we consider favorable to our owners. At Porgera, our agreement to sell 50% of Barrick New Guinea, the joint venture operator, marks the first phase of a new partnership with Zijin Mining. As our Chairman noted when we announced the partnership in May, this is an important first step in a long-term strategic relationship that will provide significant opportunities to create value for our respective shareholders. We are already working closely with Zijin to take advantage of those opportunities and Zijin is already at site interacting with our team and they have been very engaged with the work force, local communities and our host government in PNG. Zijin is the largest gold producer in China and a global leader in mining technology, engineering and construction. They also have access to low-cost capital and enjoy strong relationships with world-class suppliers at competitive costs. We will explore opportunities to realize synergies and generate value together in all of these areas and we'll look to collaborate on future projects where it makes sense to do so. This transaction is expected to close in the third quarter. Turning to Zaldivar, we have reached an agreement to sell 50% to Antofagasta for total consideration of $1 billion in cash. By selling a portion of this robust, but non-core asset, we strengthen our balance sheet while maintaining exposure to a strong cash generating operation. At the same time, we have further concentrated our portfolio on gold. Under the new ownership structure, Zaldivar will have a joint board of directors consisting of three nominees appointed by each company. Antofagasta will act as operator of the mine and will be subject to oversight and direction by the board. Antofagasta really is an ideal partner for this asset, and we believe there could be potential for synergies with their existing operations and opportunities for us to collaborate on other projects in the future. Antofagasta are proven, disciplined operators with a great track record and they know Chile probably better than any other company in the space. The transaction is expected to be completed in late 2015. Our streaming agreement just announced with Royal Gold crystallizes immediate value from Pueblo Viejo in a volatile metal price environment. It will strengthen our balance sheet in the short term while preserving material exposure to higher gold and silver prices in the future. Royal Gold will make an upfront payment of $610 million, plus continuing cash payments for gold and silver delivered. Details of the agreement are provided in the release. In summary, for gold we will sell 7.5% of our share of production from the mine until 990,000 ounces of gold have been delivered. For silver, we will sell 75% of our share of production until 50 million ounces of silver have been delivered. After that, deliveries to Royal Gold will decline to 3.75% for gold and 37.5% for silver. Royal Gold will pay Barrick 30% of prevailing spot prices for the first 550,000 ounces of gold and 23.1 million ounces of silver delivered. Thereafter, our price participation will double, to 60% of prevailing spot prices. The stream is unsecured and is not subject to a Barrick guarantee, resulting in appropriate risk sharing between ourselves and Royal Gold. We expect closing to occur early in the fourth quarter. In addition to the transactions we've already announced, we continue to optimize our portfolio. This is not only about reducing debt. Ultimately, we want a portfolio focused on high-quality gold assets and growth projects in our core regions in the Americas. On the left, you will see our five core mines plus Turquoise Ridge. These are really the foundation of our portfolio. These six mines generated approximately 4 million ounces of low-cost production for us last year, and will continue to be core producers into the future. On the right side are assets we consider to be non-core. As we've discussed, we have sold all or part of three of these assets, and we have launched a process to sell another six assets: Bald Mountain, our 50% share of Round Mountain, Golden Sunlight, Ruby Hill, Spring Valley and Hilltop. At the end of the process, you will see a Barrick that is leaner, more focused, and more profitable, with materially less debt than when we started. I'll now turn it over to Shaun to take you through some of the financials and our updated outlook for 2015.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Thanks, Kelvin. With the drop in the gold price below $1,100 an ounce, there's a renewed focus on liquidity, which I'd like to address. As you can see, our near-term debt repayment schedule is quite modest, with less than $800 million due through 2017 currently, and that is improving. As Kelvin mentioned, we've already reduced our consolidated debt by approximately $250 million in the first half of 2015, and we also intend to redeem the outstanding $229 million principle amount of 2.9% notes due in 2016 with some of the proceeds from the sale of Cowal. The notes will be redeemed on September 9 this year, in accordance with their terms. At that point, we'll have less than $600 million due until the end of 2017. Once complete, we will also use the proceeds from the Porgera, Zaldivar and Pueblo Viejo transactions to retire debt. We're working through our debt repayment strategy, and we'll provide details at the appropriate time. There are a range of options we can pursue, including the tender process we used in 2013. We have a number of competing priorities in terms of realizing value, lengthening tenure, and ensuring we optimally reduce high interest charges. In terms of our liquidity, at the end of the second quarter ,we had $2.1 billion of cash and an additional $4 billion available on our undrawn credit facility. I'll just note that we have no financial covenants on our outstanding public debt, the vast majority of which is in bonds; it's not bank debt. Our undrawn credit facility only has one financial covenant, which is to maintain that the consolidated tangible net worth of $3 billion, and at the end of the second quarter, this covenant – well, our tangible net worth was $5.7 billion. Finally, as Kelvin noted, the board has decided to reduce the dividend by 60%. This right sizes our dividend to more appropriately allocate free cash to our highest return investment opportunity. We continue to be relentless in our efforts to maximize free cash flow, and are scrutinizing every aspect of the business. Our goal is not only to reduce debt but to continually improve our effectiveness and efficiency. This will position us to deliver attractive returns throughout the metal price cycle, and we're making some really good progress. On G&A costs, we've surpassed our initial $30 million target savings for 2015 and now expect to capture $50 million in savings this year, excluding severance and one-time costs. Given this better-than-expected progress, we expect to increase run rate savings from $17 million to $19 million next year. I'll speak to the additional capital reductions in a moment. As Jim will describe, we're focusing hard on improving productivity and reducing our OpEx, and see a lot of potential there. We've also identified a number of action plans and levers across different price levels, which we'll talk to in more detail later. We are scrutinizing all of our growth-related project spend and have made some reductions there, prioritizing strategic fit, returns, near-term cash implications and, of course, the option value for Barrick at different gold prices. At Pascua-Lama, we're in the process of reducing our holding costs while we look to optimize the project. And with respect to exploration, we've lowered our 2015 budget and guidance by $40 million by cancelling or deferring higher risk, less strategically aligned greenfield expense, but are maintaining a significant commitment to mine site exploration. Jim will talk a bit more about this data. And finally, we're implementing plans to optimize spending at some of our closure sites. So a lot of work has been done to optimize or reduce costs in every area. We continue to review our 2015 and 2016 CapEx plans as we update our life-of-mine plans, and our revamped investment committee has made great strides in ensuring we only spend capital that meets our (15:50) return expectations and our capital allocation objectives. We haven't yet completed this process for 2016, so we will be providing our guidance for next year with our year-end results. In addition, we've imposed even tighter controls around approval of capital, lowering the thresholds to which capital outlays need to be approved and improving the substance and quality of the business cases, as well as employing more sophisticated risk management in the business. As a result, we've captured a third additional capital across all buckets in Q2. In total, we've identified $300 million of reductions so far this year, including $200 million in the second quarter. Our revised total CapEx guidance of $1.6 billion to $1.9 billion represents a 20% (16:37) 2016. We reduced sustaining capital by a further $100 million in Q2, optimizing stripping and deferring big overhauls and purchases of capital equipment. A good example of optimized stripping is at Veladero where we've steepened the pit-fall (16:54) slightly to minimize the amount of waste removal and saved on haulage costs by depositing the waste within the pit; this is a couple of miles away. So the cost of stripping has gone down. We reduced expansion and project capital by $50 million dollars each. The lower expansion capital mainly reflects some reductions and deferrals associated with essential spend on the shaft project at Turquoise Ridge and reduced stripping and non-essential underground development at Cortez. The reductions of project CapEx primarily reflects removal of some planned work at Pascua-Lama and lower or cancelled spending at Cerro Casale and Spring Valley, respectively. Turning to our guidance: In 2015 we now expect to produce 6.1 million to 6.4 million ounces, taking into account the divestiture of Cowal and 50% of our interest in Porgera. As we indicated at the start of the year, production is anticipated to be 55% weighted to the second half of the year, largely driven by higher expected production at Goldstrike, Cortez and Pueblo Viejo. With the additional cost reductions we've made in Q2, we've lowered our 2015 all-in sustaining cost guidance to $840 to $880 an ounce from our previous guidance of $860 to $895 an ounce. We've indicated with our Q1 results that we expect second half costs to be 20% lower than the first half based on the production weighting. However, we've done better than anticipated on costs to date. As a result, we now expect costs to be 10% lower in the back half of the year, also reflecting the impact of lower sustaining capital expenditures. Third quarter all-in sustaining costs are anticipated to be approximately 10% to 15% higher than the fourth quarter, largely driven by the production mix as well as higher capitalized stripping and sustaining capital for Veladero. On the copper side we expect to produce between 480 million pounds and 520 million pounds of copper in 2015 at C1 cash costs in the range of $1.75 per pound to $2.00 per pound. There's no material impact from the sale of 50% to Zaldivar as we expect it to close late in 2015. Zaldivar continues to generate strong free cash flow and we'll continue to benefit from that as a 50% owner going forward. For Lumwana, the Zambian royalty has now been ratified at 9% and became effective as of July 1. With respect to power, we're in discussions with ZESCO and what restrictions might apply to us. But the mine continues to operate and through proactive energy management, we do not expect a material impact on production. Here's a snapshot of our current financial guidance for 2015 which is being assessed against our strategic objectives and return expectations as I mentioned. I'll now turn over to Jim who will give you an update on our operation.
James K. Gowans - Co-President: Thanks, Shaun. We continue to expect our five core mines to produce about 60% of our total production this year at reduced averaged all-in sustaining cost of $700 an ounce to $750 an ounce, down from the $725 per ounce to $775 per ounce previously. The TCM circuit at Goldstrike began treating higher grade ore from Cortez in the second quarter. This ore had been stockpiled while we worked through some of the early issues with the associated Water Treatment Plant. These have now been solved with the installation of the ultra-fine filters and the ramp-up is proceeding in line with our expectations. The third quarter is expected to be stronger of the two remaining quarters on higher anticipated open pit grades from the Betsy Norris layback. At Cortez, we expect production in the second half to be fourth quarter weighted as the open pit transitions to higher-grade ore and as the TCM ramp-up at Goldstrike allows for additional processing of refractory ore from Cortez. At Pueblo Viejo we've encountered some carbonaceous, or we it call preg-robbing, ore from both the Moore and Montenegro pits, which impacted gold recoveries earlier in the quarter, but we've been able to manage through this material with some adjustments to the mine plan and optimized ore blending. We are expecting better production in the second half from higher grades and improved autoclave availability as maintenance was weighted more to the first half. Silver recoveries have improved substantially and are now in the 70% – or the 80% range. We made some adjustments to the quench vessels in June, have installed an additional pre-heater and are in the process of installing two new line-boiled tanks, which will improve residency time and reliability of the silver circuit and its recovery. We were also pleased to ship our first copper concentrate in the second quarter. Lagunas Norte had a strong performance on the cost side, and we have lowered our all-in sustaining cost guidance there for the year to $600 to $650 per ounce from the $675 to $725 per ounce on lower sustaining capital. Veladero is also performing well and cost guidance there has been reduced to $950 to $1035 per ounce from the $990 to $1,075 per ounce. We expect second half costs to be the highest in the third quarter related to capitalized stripping and sustaining capital, as well as lower byproduct credits. Costs at Turquoise Ridge are also expected to be the highest in the third quarter related to increased development of the north zone as well as to the feasibility and detailed engineering work for the second shaft project. As Kelvin mentioned, we are driving hard on increasing of productivity and are working on a broad scope of opportunities to reduce both fixed and variable costs to make an impact on the largest slice of the pie on the left, which shows a breakdown of our all-in sustaining costs. As you can see, cash costs are about 70% of the all-in sustaining costs. This has been expanded as we significantly reduced our sustaining capital and G&A, and we see substantial potential within this area to improve our costs. I won't touch on all the components of our cash costs, but as you can see, labor is the biggest bucket. We're reassessing and optimizing our mind-sight staffing levels to see where we can do more with less. Also at the site level, we are pleased to see some early improvements in productivity with some changes to the mining methods. For example, we've increased the top cuts at Turquoise Ridge in the mine. And we are looking at different mining methods at both Hemlo and Cortez underground. Other opportunities to improve productivity include more efficient maintenance and improved supply chain integration. External spend is also a large focus area. We are working on reducing contractor costs and are renegotiating contracts for major consumables. For example, we have already identified $60 million in savings over five years from lower explosive costs. On the energy front, as Shaun mentioned, we're doing a lot of work on fuel substitution to use cheaper L&G or renewable energy like solar power, the best example of this is at PV, which I'll talk about in a moment. These conversions will also have environmental benefits from lower greenhouse gas emissions. There are significant opportunities for improvement in working capital, such as reducing our stockpiled inventories and increasing turn rates for supply inventories. These initiatives take a bit longer to lock-in at a sustainable basis than capital cuts, but we look forward to giving you an update in the upcoming quarters. I'd now like to give you an overview of our scenario planning analysis and some examples of the levers we have identified at the various price levels. In today's environment cost cutting is simply not enough. We need to know what actions are required to generate free cash flow at different price levels and, as Kelvin mentioned, we did that work early and proactively so we had clear, well thought out plans in place. This will also better position us to capitalize on the strength of our asset base when the metal prices recover. With the work we've already done to cut capital and align our spending on our 15% hurdle rate, all of our mines are free cash flow positive at $1,100 an ounce. Our mine general managers working with our technical services team have performed an analysis at prices down to $900 an ounce gold and developed specific plans to respond and maximize cash flow at the various levels. We had already begun acting on the levers you see identified at $1,100 gold prices before the recent price decline and these actions will continue to be applied. Part of this goes to our increased focus on reducing OpEx, as I just discussed. As we work to maximize free cash flow, options at our disposal if prices should decline to $1,000 per ounce include further cuts to the capital, G&A and exploration expenses, continued reductions to working capital and also deferring stripping where it is going to have the least impact on long-term plans. We don't expect gold to reach $900 an ounce; but if it does, we know what we need to do. This may involve partial or full suspensions of non-core mines, further head count reductions and raising cut-off grades or processing higher grade stockpiles at our operations. I'd just like to reiterate that we are fortunate to have 60% of our portfolio, our core mines, delivering production at average costs that are substantially below current mine – or current gold price levels. In terms of material expenditures at these mines, the major stripping is done at Cortez and TCM spending is complete. Turning to the results of some of our completed value realization studies, we've now completed these for all of our mines. The work has focused on reassessing the economic potential of every Barrick operation and identifying projects to maximize free cash flow. The benefit of these studies, as we've mentioned, are twofold: One, they will ensure we understand the full value of every mine before we would proceed with any sale; and two, they are providing us with concrete opportunities to improve efficiencies, reduce costs, increase production and extend the mine lives. Opportunities are being incorporated into current mine plans where they meet our 15% hurdle rate. And where more work is required, they may be added to mine plans for 2016 and beyond. I'd like to provide some details from the Lagunas Norte and Pueblo Viejo where we've completed Preliminary Economic Assessments (PEA) or Pre-Feasibility Studies (PFS). At Lagunas Norte, we've completed a Preliminary Economic Assessment and started a Pre-Feasibility Study on the opportunity to profitably mine the sulfide ore beneath the open pit. Lagunas Norte has been an outstanding mine for us since it began operations in 2005. It has significantly outperformed our production expectations. At the peak, it produced more than 1 million ounces annually, and it became our lowest cost and most profitable operation. The mine will transition from heat bleach-bowl (29:12) oxide ore into mixed oxide and refractory material as it approaches the end of its current mine life in 2018. We have completed a PEA on a plan to extend the mine life by approximately 12 years by mining the refractory material below the oxide ore body. This ore cannot be economically processed using heat-bleaching due to the low recoveries. So the plan contemplates adding a new grinding floatation autoclave processing circuit to treat the refractory material. Work has begun on a Pre-Feasibility Study to advance this option, which also has the potential to add nearly 2 million ounces of measured and indicated gold resources which are not included in the existing resources. As part of the Pre-Feas, we are looking at relocating some of the smaller, unused autoclaves at Goldstrike to Lagunas for this purpose. Based on the preliminary analysis, we estimate that capital of approximately $500 million would be required to build the required facilities (30:20) material. We will be filing a technical report which includes the results of the PEA work within 45 days, and expect to complete the Pre-Feasibility Study by the end of 2015. At Pueblo Viejo, we've identified some key opportunities which have the potential to add substantial value. These include expanding the tailing storage capacity in order to extend the mine life, and modifications to our fuel and power supply. With respect to the first opportunity, an expansion of tailings capacity would enable a significant portion of 6 million ounces of M&I gold resources and 37 million ounces of M&I silver resources, that's our 60% share, to be converted into reserves. We have completed a PEA to evaluate a plan to remove these constraints which, if implemented, would allow us to extend the life of the mine. We expect to complete further engineering work and commission a Pre-Feasibility Study at the second half of 2016 to refine the technical and financial analysis on increasing the tailings storage capacity, and confirm whether the measured and indicated resources can be brought into reserves. Energy, as you saw earlier, represents about 20% of our operating cost structure. We've now completed a Pre-Feasibility Study on an initiative to reduce energy costs at Pueblo Viejo by converting the fuel supply for our dedicated power plant from natural gas – to natural gas from the more expensive heavy fuel oil, and retrofitting the lime kilns at site to burn natural gas instead of diesel. The Pre-Feasibility Study evaluated the delivery and use of liquid or compressed natural gas to the mine and to the power plant. We're currently in negotiations for the supply of natural gas to the power plant and to the mine. If successfully concluded, we could be in a position to implement this initiative as early as 2017. We expect the power conversion will require minimal capital investment, and that all capital costs associated with the construction of the natural gas infrastructure, including the natural gas pipeline to the power plant, would be borne by the supplier. Turning now to a brief update on our project pipeline in the Americas: Pre-Feasibility Studies in Nevada are on track to be completed at the end of the year. As Kelvin mentioned, we've begun a sale process for the portfolio of non-core North America assets, and this includes Spring Valley. At Turquoise Ridge, we have advanced into feasibility and detailed engineering on the second shaft project, and expect this to be completed by the end of the year. Subject to a JV approval, we would be in a position to begin construction early next year, and nearly double production in 2019. Permitting at Goldrush on the twin exploration declines is progressing, and our expectation is that we will have permits in place in the first quarter of next year. And we have now added Lagunas Norte deep sulfides to the list that I've just covered. As Shaun noted, we've reduced our exploration budget some $40 million, and are now expect to spend between $180 million to $220 million this year. The revised budget reflects a deferral or cancellation of some non-essential infill drilling, for example at Goldrush, where we have done sufficient infill drilling for the Pre-Feasibility Study, and some higher risk and less strategically aligned spin, such as at Spring Valley and at other minor programs. Our budget continues to be primarily weighted to the Americas and to brownfields exploration. The programs and budgets at all sites have been reviewed, refocused, and realigned. And we're excited about the opportunities at Cortez, Turquoise Ridge North Zone, our Porgera underground and in the open pit, and at Hemlo. We've actually increased the budgets for mine ex – for Cortez and at Hemlo. On the generative or greenfield side, we are advancing our highest priority strategic targets, including Goldrush and Alturas. I'll now turn it over to Kelvin to wrap up.
Kelvin Paul Michael Dushnisky - Co-President: Thanks, Jim. To conclude, we'd like to leave you with three key points. First, our portfolio is performing very well. Adjusted for asset sales, we're on track to meet our production guidance, and we have lowered our 2015 all-in sustaining cost guidance. Second, the early actions we have taken have improved our cash flow and mitigated the impact of lower gold prices, and we continue to work systematically and aggressively to reduce costs across the company. And third, we have made excellent progress on debt reduction. Thus far, reducing debt by $2.7 billion, or 90% of our total debt reduction target for the year. So, in summary, we delivered solid results for the quarter and we continue to execute on our plans to maximize cash flow and improve returns. These actions are strengthening our portfolio and our flexibility in a lower gold price environment, and positioning us to deliver stronger margins when gold prices recover. That concludes our presentation. It was a little longer than usual, but we had an exciting quarter and lots to share with you, so we apologize for taking a little longer, and we appreciate your patience. We would now be happy to take any questions.
Operator: We'll now take questions from the telephone lines. And the first question is from Greg Barnes from TD Securities. Please go ahead.
Greg Barnes - TD Securities: Yes, thank you. Shaun, of the $200 million in CapEx reductions this year, a lot of it seems to have been deferred. How long can you defer it and how much of the $200 million is deferred?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Greg, look, thanks for the question. Look, as we go forward and say what we've seen is a history of quite a number of deferrals in capital, not just (36:51) in the sector. For us, I'd say at this point in time we are continuing to see opportunities for both reductions and deferrals, and our focus on these reductions is really on sustainability. So I can't give you an exact split right now, but I think the key thing for us is making sure that any deferrals or reductions ultimately don't impact the sustainability of the portfolio going forward.
Greg Barnes - TD Securities: Okay. And just a follow-up for Jim, the thiosulfate circuit at Goldstrike, wasn't much discussion about that in the news release. I was just wondering how that's going?
James K. Gowans - Co-President: Thanks for the question. It's going quite well. Initially, when we talked, I think, in the first quarter, we talked about some of the problems we had at the water treatment plant. Those essentially are behind us and we have continued to ramp-up and have been able to start focusing in on the chemistry. It's been going quite well. We're getting pretty much the recoveries predicted for the grades fed in, and we've been able to run quite a variety of ores into the plant and gain knowledge on it. So I'm really pleased with the progress and it's ramping up on schedule or a little bit ahead.
Greg Barnes - TD Securities: Okay. Thank you.
Operator: Thank you. The next question is from Andrew Quail from Goldman Sachs. Please go ahead.
Andrew C. Quail - Goldman Sachs & Co.: Morning, Kelvin, Jim and Shaun. Thanks very much for the update and congratulations on a very strong quarter and some good announcements. First question's on Cortex, just, obviously, real jump in grade. I think people expected some improvement but it was exceptional. Just, I mean, obviously, Jim, you touched on it's going to be fourth quarter weighted there. Can you give us some, I suppose it's going to be between sort of Q1 and Q2, the grade; but more so I suppose looking forward through to even 2016, are we sort of – is the grade that we see in Q3, Q4 this year more likely what we're going to see sort of going forward into 2016?
James K. Gowans - Co-President: I don't think so, but I'm not too sure. We're looking at that right now. When we get the final pushback of the pit and started moving into the ore, we ended up getting higher grade ore than we initially anticipated. And so that turned out to be a very positive thing. But I think we go back to our normal reserve grades as we get into the pit.
Andrew C. Quail - Goldman Sachs & Co.: Okay. So it's going to be somewhere in between obviously Q1 and Q2.
James K. Gowans - Co-President: Yeah.
Andrew C. Quail - Goldman Sachs & Co.: Yeah. And then I suppose my second question, because I only get two, is on Zaldivar. Can you guys just talk us through how, I mean, it's obviously fresh but the process there about maybe how you balance between sort of 50% and maybe selling 100%? I think people want to – if you can just talk us through your decision making there?
Kelvin Paul Michael Dushnisky - Co-President: Sure, Andrew. It's Kelvin. Look, first of all, the starting point, it was a very robust process result of ours and that won't come as a surprise to you. We indicated early on we would sell up to 50% and very strong universe of bidders. But at the end of the day, our rational was we wanted to monetize that proportion of the asset, but we kept exposure to it. It's a great mine, very robust, and so we're very pleased with our partner in Antofagasta. We think that as operators, they'll bring a lot to the project based on their deep experience in Chile. They're well-known for running good projects. Zaldivar has operated very well in itself, and that's reflected in the price. But we just think that by staying involved and participating as Zaldivar continues is the right decision for us.
Andrew C. Quail - Goldman Sachs & Co.: Okay. Thanks very much, guys.
Kelvin Paul Michael Dushnisky - Co-President: Thanks, Andrew.
Operator: Thank you. Your next question is from John Bridges from JPMorgan. Please go ahead.
John D. Bridges - JPMorgan Securities LLC: Hi. Morning Kelvin, Jim, Shaun. Well done. Congratulations on the streaming deal. I was just wondering on Lagunas, any indication as to what sort of price would be required for that? Or maybe a strip ratio so we could put some numbers to it?
Kelvin Paul Michael Dushnisky - Co-President: Jim, can maybe add. It's early pre-feasibility, so we don't want to get too ahead of ourselves on that, but I think kind of ballpark numbers at this point, Jim, maybe $400 million to $500 million is...
James K. Gowans - Co-President: Yeah. For capital.
Kelvin Paul Michael Dushnisky - Co-President: Yeah.
John D. Bridges - JPMorgan Securities LLC: Yeah. Okay. And then on PV, you're looking at the feasibility of the conversion. You need more land. Have you spoken with the Dominicans about accessing that, any sort of deal in the works there?
Kelvin Paul Michael Dushnisky - Co-President: This is, John, in reflection to the tailings expansion. Look, we haven't yet. We've identified a number of areas where we could expand into though at PV. We've gone through this process before, so we're very comfortable that that's a process we will be able to manage well.
John D. Bridges - JPMorgan Securities LLC: Okay. Thanks a lot, guys. Good luck.
Kelvin Paul Michael Dushnisky - Co-President: You're welcome. Thank you.
Operator: Thank you. The next question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni - Credit Suisse Securities (Canada), Inc: Good morning, guys. My question is a follow-up on PV. With the tailings expansion, what would be conceptually the associated capital with that?
Kelvin Paul Michael Dushnisky - Co-President: At this point, Anita, it's not definitive, but probably between $100 million and $150 million, that range.
Anita Soni - Credit Suisse Securities (Canada), Inc: Okay. So about a buck a ton from the additional tonnage that you would add, right?
Kelvin Paul Michael Dushnisky - Co-President: Yeah.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: That's probably about right.
Kelvin Paul Michael Dushnisky - Co-President: It's about right.
Anita Soni - Credit Suisse Securities (Canada), Inc: And then on Lagunas Norte, with that extension there in the $400 million to $500 million and AIC, if I sort of the – what you're running right now at $600 per ounce to $650 per ounce, would the AIC go up with refractory ore? And secondly, could you envision that $500 million over an additional 2 million ounces, would that provide the sufficient IRR at $1,100 for you to go ahead with that?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Anita, this is a business case that we've actually just reviewed in the investment committee fairly recently and it was reviewed a couple of times with this in mind. Firstly, on the AIC, we're actually looking at AIC numbers, all-in sustaining cost numbers, more or less in line in the business case with what we have with the current operation with this capital. And a lot of that is really contingent on us being able to address our fixed cost structure and then go forward. So there's been a lot of work that's been done to do that. It will be a smaller operation but a profitable operation, which will exceed the goal rate that we've got.
Anita Soni - Credit Suisse Securities (Canada), Inc: And from a total capital standpoint of pre-production outstanding?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Yes.
Anita Soni - Credit Suisse Securities (Canada), Inc: All right. Thank you.
Kelvin Paul Michael Dushnisky - Co-President: Thanks, Anita.
Operator: Thank you. The next question is from David Haughton from CIBC. Please go ahead.
David Haughton - CIBC World Markets, Inc.: Good morning, Kelvin, Jim and Shaun. Thank you for fielding all these questions. I'll just stick with PV again and the theme on the royalty. Do you need Dominican Republic approval for the royalty?
Kelvin Paul Michael Dushnisky - Co-President: No, we don't.
David Haughton - CIBC World Markets, Inc.: Okay. So I presume then that any tax calculation would be based on spot for what goes to the DR government?
Kelvin Paul Michael Dushnisky - Co-President: That's correct; and a stream, not a royalty. But I take your point, David.
David Haughton - CIBC World Markets, Inc.: Gotcha. And just one of the requirements there is a 70% recovery on the silver. I heard Jim say that you're hitting that already. It has been problematic in the ramp-up and I'm pleased that it's getting there. How confident are you of sustaining that plus 70%?
James K. Gowans - Co-President: Quite confident. In fact when I was going through my speech I said 70% but then I corrected myself and it's actually – we've been running around in the 70% – or 80% to 82% in the last month. And so we will continue to improve that. I mentioned in the speech of adding retention tanks and added more heat recovery on our autoclaves to get the lime boil up so we could operate it at better recoveries. So I'm very, very confident.
David Haughton - CIBC World Markets, Inc.: Okay. And to your knowledge, did Royal Gold factor in any potential expansion in their assumption of what this royalty – or what this stream could be worth?
Kelvin Paul Michael Dushnisky - Co-President: We don't believe so, David.
David Haughton - CIBC World Markets, Inc.: Okay. Great. Thank you very much.
Kelvin Paul Michael Dushnisky - Co-President: Thank you.
Operator: Thank you. The next question is from Andrew Kaip from BMO Capital Markets. Please go ahead.
Andrew Kaip - BMO Capital Markets (Canada): Good morning, Jim, Kelvin and Shaun. Look, my questions are targeting Lagunas Norte and the potential expansion at the sulfide resource. First of all, I'm wondering what is the sensitivity of the existing resource to metal prices? Given the grade, I would assume that it's not too sensitive but I'm wondering if you can shed some light on what the style of mineralization is and potential sensitivities.
James K. Gowans - Co-President: Thanks for the question. It's not particularly sensitive. We do have some challenges a bit with recovery as we move into the, what we call the mixed ore and the final years, the couple years of our operation. And so that's why we've been pushing forward on the pre-feasibility for the sulfide processing.
Andrew Kaip - BMO Capital Markets (Canada): All right. Is that resource open at depth? Can you give us an indication of potential to grow it over time?
Robert L. Krcmarov - Senior Vice President-Global Exploration: Yes. It's Rob Krcmarov here. The mineralization is open at depth. Most of the mineralizations actually been drilled by diamond drilling and so we would expect that the grade might even increase when we switch to RC drilling. That's been the historic case. To your earlier question about the style, the style is the sulfide version of the oxide high sulfidation epithermal mineralization drilling. It's also a satellite deposit, I think it was called Santa Barbara is its new name. That's more of a low sulfidation style several kilometers away.
Andrew Kaip - BMO Capital Markets (Canada): And is it more a structurally controlled or disseminated?
Robert L. Krcmarov - Senior Vice President-Global Exploration: More disseminated.
Andrew Kaip - BMO Capital Markets (Canada): Okay. Thank you. And then just regarding permitting or potential permitting, I mean, are you anticipating a longer permitting timeframe in Peru given the addition of autoclave and the requirements to permit that?
Kelvin Paul Michael Dushnisky - Co-President: We're expecting – I think a fairly safe guess would be about three years. That's our estimate at this point. If you went back a few years, you would have done it more quickly but we're building in a little more time.
Andrew Kaip - BMO Capital Markets (Canada): All right. Thank you very much.
Kelvin Paul Michael Dushnisky - Co-President: You're welcome. Thanks, Andrew.
Operator: Thank you. The next question is from Tanya Jakusconek from Scotia Bank. Please go ahead.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Great. Good morning everyone. I have a couple of questions, one on Pueblo Viejo and then the other one just on your debt. I guess, for Shaun, if I could, I'll start with the debt. I understand that you're looking at your debt profile and which bonds to eliminate. Can you just let us know if there are any restriction or termination fees in terms of turning out any of your bonds?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Tanya, at this point, I mean, we've got the bulk of ours is publicly-traded debt. We've got make holds (48:34), which obviously need to (48:36) go further out to our expenses. And as we look at our overall strategy, as we referenced in the earlier comments, things like the 2013 tender offer are strategies that we're actually looking at here. So, no, we don't foresee considerable costs for us to be able to effect this liability management strategy of ours. But we have some time to finalize that between now and receiving the proceeds in the back end of the year (49:05).
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Yeah, because you do have some of the notes, I think they're 2018, 2019.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Yeah, yeah.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Yeah. And those, I think there's one that is at a higher coupon rate, but -
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Yeah.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): ... so there's no termination fees or restrictions in doing any of that?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Not that I'm aware of.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Okay. And then, coming on to Pueblo Viejo, and if you wanted to take it offline, just maybe on the accounting of how this stream is going to be accounted, because we're just trying to understand, under legal structure, is the stream going to go through Barbados sub? And then, how will it be accounted for?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Tanya, I'm going to ask my Controller, Mike Lepore, who's really been intimately involved in the development with this team, to provide a brief response. And we can actually take it offline, I think, if there's any more detailed questions.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Okay.
Michael Lepore - Vice President & Controller: Hi, Tanya. Yeah, I'll just comment quickly on the accounting. The stream will be accounted for essentially as a deferred revenue transaction. So the upfront deposit will be recorded as deferred revenue, and then we'll bring it in to – recognize it as revenue and bring it in to earnings as we deliver the outputs (50:17) into the stream.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Okay. No, that's what we understood. Maybe we'll take it offline in terms of additional information on that.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Yeah. We can do that, Tanya.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Yeah. Okay.
Kelvin Paul Michael Dushnisky - Co-President: Thanks, Tanya.
Operator: Thank you. The next question is from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Thomas Smith - Haywood Securities, Inc.: Thanks, operator. Maybe this is a question for Kelvin. For these other non-core assets that you've announced that you're going to put up for sale here in the short term, do you think that you'll wind up selling all those assets as a package, or do you think you'll get better value by selling them as separate assets? I'm just wondering how you're thinking about packaging them up and how it'll be marketed?
Kelvin Paul Michael Dushnisky - Co-President: That's a good question, Kerry. Look, we think, at this point, we're open-minded. We'll see. We haven't started the process yet; but I promise you, when we get off this call, I'll go to my office and there's probably going to be a dozen calls and emails about it. We expect it'll be a robust process too. And we'll see. Wherever we can obtain the best value, we will. And at this point, we're open-minded to see how the process works.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay. And then the intention would be to try and have all that done by year-end? Would that be the timing?
Kelvin Paul Michael Dushnisky - Co-President: Correct. Yes.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay. And then, Jim, just on the silver recovery at PV, what do you think your target recovery will be when you get the circuit running properly, and the new retention tanks added? Do you think you could get to 85% or 90% silver?
James K. Gowans - Co-President: No, it's in the 80%s, in the mid-80%s, depending on the grade.
Kerry Thomas Smith - Haywood Securities, Inc.: Okay. Okay. Great. Thank you.
Kelvin Paul Michael Dushnisky - Co-President: Thanks, Kerry.
Operator: Thank you. The next question is from Phil Russo from Raymond James. Please go ahead.
Phil Russo - Raymond James Ltd. (Broker): Yeah, thanks. Morning, guys. Just on Lagunas Norte, just looks like it's going to be a smaller operation as you go ahead here. Just curious, why would you spend $500 million on an asset that looks like it's trending towards non-core? If the implication is a lower production profile here, I was curious of your comments there?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Look, so I'll provide an initial response and perhaps some of the other members may have a comment. But from our side, I guess the first question is really, just given the early stage of this, what's the way to maximize value for this particular operation? Whether it's core or non-core in the future and whether it's perhaps worth more in our portfolio or out, those are later considerations. I think the issue for us in the meantime is, is this – do we have optionality in this ore body which generates decent returns? And we've got work to do before we get to any sort of future capital investment decision. The key at this point is, there is additional life and have a robust case, which is worth taking forward.
Phil Russo - Raymond James Ltd. (Broker): Great. Thanks for that. Just one more quick one here, just on PV. The lower recoveries because of the carbonaceous ore, just, could you refresh my memory, just how prevalent that is in the mine plan?
James K. Gowans - Co-President: It is in the – throughout the mine plan at the lower levels. The whole life-of-mine plan is developed by minimizing its impact, by blending it in. But we just went through kind of a higher part of it in the first quarter, that's what the challenge was.
Phil Russo - Raymond James Ltd. (Broker): Okay. Right. So it's just a blending issue, that you'll get better at over time here. This is just a higher area.
James K. Gowans - Co-President: That's correct.
Phil Russo - Raymond James Ltd. (Broker): Okay. Great. Thanks.
Kelvin Paul Michael Dushnisky - Co-President: Thank you.
Operator: Thank you. Your next question is from Brian MacArthur from UBS. Please go ahead.
Brian T. MacArthur - UBS Securities Canada, Inc.: Hi. Good morning. And we can take some of this offline if necessary. But I just want to confirm, on the royalty – or sorry, the streaming deal for PV, it says after-tax cash flow (54:17) Dominican Republic. So my cash flows basically go – I assume it's operating cash flow, it's not free cash flow, so the stripping thing goes back and forth. That has impacts. Then I pay taxes and then, without – then given – after I've done that, what's left over is where I start to get the royalty payment made? So if for some reason the Dominicans put a huge tax on this and you went to zero or something, there's nothing left over. That's how you're sharing the risk with Royal Gold? Is that the way to think about it?
Kelvin Paul Michael Dushnisky - Co-President: That's correct, Brian.
Brian T. MacArthur - UBS Securities Canada, Inc.: Great. Thank you very much.
Kelvin Paul Michael Dushnisky - Co-President: You're welcome. Thank you.
Operator: Thank you. The next question is from Chris Terry from Deutsche Bank. Please go ahead.
Chris Terry - Deutsche Bank AG (Australia): Hi, guys. Just a couple of questions on behalf of Jorge. In terms of the balance sheet, I guess you see a way through that $3 billion overall target. So just looking out to 2016, do you think the CapEx and the OpEx savings that you're targeting will be enough, or do you need to set another aggressive profile, in terms of debt reduction, in order to get a better share price performance? And then secondly, just on the overall mix of the sales that you've outlined, do you have a long-term strategy around copper, or are you just selling assets based on the return on invested capital parameter of 10% to 15% that you highlighted earlier?
Kelvin Paul Michael Dushnisky - Co-President: Well, Chris, it's Kelvin. I'll start, then maybe the others may want to join in. In terms of debt reduction, we set an ambitious, aggressive target for 2015 which we thought was achievable, and as you indicated, we're 90% there. We've also been clear that that's not the end of the journey, and so we'll continue that into 2016. But we'll decide, as we finish on in 2015, what we do in 2016. In terms of continuing to bring down costs, however, I mean, we've also set very aggressive targets as we indicated for 2015 and 2016, which we're going to – and that's the philosophy you'll see from us going forward. We're going to set stretch aggressive targets and we're going to achieve them. So we set that and indicated (56:29) and 2016 we want to reduce spending by another $2 billion across the company. And we think that by doing that and with the debt reduction that we've already achieved and what will continue, we think that the share price should respond favorably. As far as copper, your question regarding copper, look, we've indicated our focus is gold. There's no question about that. The assets that we have in the portfolio, the copper assets we're going to continue to try and maximize value from them and – but as far as on a going forward basis, you'll see us focus on our core regions and we are gold focused and that's kind of the strategy as we outlined earlier in the year.
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Yeah. Chris, I think the only thing perhaps just to perhaps amplify Kelvin's comments. As we've been focusing these divestments, we have found a number of opportunities that we've outlined to continue to boost cash flow even in these volatile environments. So I think that's the – focusing on our controllables, particularly over the next 18 months, and that target we put out there is a big objective for this business. And we'll continue to find and pursue opportunities to use cash flow. And as we do, we'll continue to see what we can do to improve our debt metrics.
Chris Terry - Deutsche Bank AG (Australia): Good. Thanks very much.
Kelvin Paul Michael Dushnisky - Co-President: Thanks, Chris. Thank Jorge as well.
Operator: Thank you. The next question is from Tony Lesiak from Canaccord Genuity. Please go ahead.
Anthony Hermann Lesiak - Canaccord Genuity Corp.: Good morning. I'm interested in some more detail on the $1.4 billion in annual cost saving opportunities you've identified today. How much have you realized to date? Or what is the incremental from here?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Tony, I'll start with that. Look with us, this is a process which was actually triggered through some of the scenario planning that Jim spoke to earlier. So this was initiated some months ago. We continue to stretch both targets. And of the $1.4 billion so far with our internal forecast, we've already booked in about $900 million of that. Of course, we have to deliver those, but the core focus for us is on just seeing with each of the levers that our disposal to use (58:45) cash to see what we can do and also to try and prioritize doing that as soon as possible within 2015. I think the last part I would just highlight is also just overall focus on sustainability as we go about doing this. We want to make sure that these are not just very short-term focused, but indeed we do consider the portfolio beyond this horizon and make choices accordingly.
Anthony Hermann Lesiak - Canaccord Genuity Corp.: I mean what I'm really trying to get after here is looking for long-term run rates for, let's say, exploration, G&A, sustaining kind of OpEx numbers, any sort of additional color that you can provide on that?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: Look, I think at this point, the first key takeaway is that we have cut a lot of costs and continue to boost cash in these declining price environments, and we're going to continue to do so. You've seen some of this coming through in revised guidance; and as we make progress, what we will do is continue to reflect this in the revised guidance. I think we've got the added dimension, our portfolio does continue to move. But as I've said, as we get through each quarter, we will continue to provide more concrete guidance and progress on this.
Anthony Hermann Lesiak - Canaccord Genuity Corp.: Okay. Just a final question on Pascua in terms of reducing holding costs, what are those costs right now? And finally, are you looking to sell equipment right now?
Kelvin Paul Michael Dushnisky - Co-President: Tony, maybe I'll start in reverse order on that. Tony, yes, there are equipment and other items that we have been selling, in fact, and other things that we're continuing to sell. And if you have interested parties, be in contact with us, please.
Anthony Hermann Lesiak - Canaccord Genuity Corp.: Okay.
Kelvin Paul Michael Dushnisky - Co-President: In terms of the – sorry, you had another question?
Shaun Usmar - Senior Executive Vice President and Chief Financial Officer: No.
Anthony Hermann Lesiak - Canaccord Genuity Corp.: No, no. That's good.
Kelvin Paul Michael Dushnisky - Co-President: Okay.
Anthony Hermann Lesiak - Canaccord Genuity Corp.: All right. Thanks so much.
Kelvin Paul Michael Dushnisky - Co-President: Thank you very much.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting by over to Mr. Dushnisky.
Kelvin Paul Michael Dushnisky - Co-President: Well, thank you, operator. And thank you very much everybody for joining us on the call. We're pleased to have shared with you the results of the quarter, which we're very happy with. We're looking forward to updating you on the Q3 call. And that'll conclude the presentation. So thanks very much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.